Frank Calabria: Okay. Good morning, everyone and welcome to the Origin Energy 2024 Half Year Results Presentation. I'm Frank Calabria, and I'm joined here in Sydney today by the Origin Executive Leadership Team. And while I'm on the topic of the team, many of you have seen that we made an announcement a couple of weeks ago that after six years at Origin and a career spanning more than 40 years, Lawrie Tremaine has decided to retire in July this year. Something he has been planning and also discussing with me for some time. And so while we have a few more months with Lawrie at Origin, I would like to take this opportunity in front of all of you to acknowledge just the key role he has played in the repositioning and growth of Origin, and also as an integral member of the executive team. As we said in that announcement, a process has commenced to identify a successor and we will share more information at the appropriate time. And I know many of you will get the opportunity, to see Lawrie over the coming days and weeks. So congratulations Lawrie. Slide 2 contains the outline for today, which most of you should be familiar with. This will be followed by an opportunity for you all to ask questions. Just pausing on the introduction slide, I just wanted to really outline the first section. So in this first section we will go through Origin's value proposition, how we are tracking on the execution of our strategy, key financial highlights for the half year, and also very importantly our continued focus and commitment to support customers and communities, which is more important than ever and I'd like to share some of the specific things we're doing, but just also to continue to remind you that's at the core of the purpose of Origin and as I said, never more important than the times we live in today. So just turning to Slide 4. Origin represents a unique energy transition value proposition. In energy markets we have a retail business with scale and strong differentiated capabilities. We have a flexible generation portfolio that is difficult to replicate, and increasingly valuable, and we have growth opportunities through emerging businesses and also investing into the transition. The energy transition is global and through our investment in the rapidly growing Octopus Energy, we are creating value from this. Firstly, through their world-class enterprise software platform, and also their energy transition business, which you'd know through their U.K. retail business, but rapidly growing internationally and through energy services. Third dimension to the proposition is gas, which will play an increasingly valuable and critical role it is already today, and for the future energy mix for many years to come. And I think that's increasingly appreciated. Our integrated gas business as both shareholder, and operator of the high quality APLNG gas resource is reliably delivering gas and did that again in the last six months, and also delivering very robust cash flows. I'll expand on the value proposition over the coming slides, for those three aspects of Origin. It's worth just reflecting right now though over recent times at Origin, the corporate activity that you're no doubt aware over the last year or so, and the strong business performance both stand out for me. Clearly the corporate activity has shone a spotlight on our business, and what I believe to be an advantaged position that we hold. At the same time, I'm also proud of the strong business performance we, the team have delivered over this period. So both of these have enhanced our confidence on strategic direction, and also our capabilities to execute. And I think equally important, we're excited about the opportunities ahead, and getting after them. I think we've got good momentum and you've seen over recent times, our investments in the Eraring and Mortlake batteries. We've increased our stake in Octopus, and we made the acquisition of two retail aggregator businesses, just to name a few of the things that have been underway. It is also timely, with those two events over the last six months, to evaluate our key strategic choices, and our investor proposition. And so consistent with our message, at the end of last year, we are actively working on this and we'll share more with you over the coming months. We do have an evolving view on capital allocation preferences and Lawrie will discuss and on our views in his section, and expand on that a little further there. But overall our beliefs, are that there are good transition investment opportunities that, deliver growth and equally the need, to deliver good returns to our shareholders is paramount. So now turning to the financial highlights. Our underlying profit of $747 million is up from $44 million in the corresponding half in 2023. Our underlying EBITDA has now grown to $1.995 billion. Our balance sheet is healthy and for many, of that have been on the journey with Origin, you would be pleased like I am, to see that our adjusted net debt to underlying EBITDA is now at 0.9 times EBITDA. Our pre-tax return on capital employed, over a rolling 24-month basis is 12.1% and on the back of the business strength and performance, and the confidence I mentioned earlier. We have declared an interim fully franked dividend of $0.275 per share fully franked, which is up from $0.165 cents per share for the equivalent period. On Slide 6, I outline our ambition to lead the energy transition, through cleaner energy and customer solutions. This should be a slide that's familiar to you all, and our three strategic pillars, and how we create value. This was launched in early 2022 and it has been our clear focus. And the reason I include that, is to remind everyone as we turn to Page 7 or Slide 7, we did at the same time set ourselves ambitious medium-term goals, to achieve when executing our strategy, and also to hold ourselves accountable to, and we highlight the summary of those achievements on this slide, which I won't go through in item, you can see them all, but they'll be covered throughout the presentation largely. Now turning to that value proposition and peeling it away further. So Slide 8, highlights the value and growth drivers of energy markets that, underpin that value proposition. Those growth and value drivers, should be familiar to you, based on the rainbow chart that you may have seen - in the last result presentation that talked about the trajectory over the medium term. Our retail business has scale strong brand, and now has all customers on the Kraken enterprise software platform, which is an incredible achievement. They're not easy projects to do. So, we're very pleased by that and we - from which we will drive further benefits. Wholesale gas is a competitive strength, through the combination of the assets and contracts we have, and we have recently concluded the Beach contract price review that strengthens our medium-term earnings outlook. Turning to wholesale electricity, and our existing power asset base. We are continuing to engage with the New South Wales government on the timing of closure of Eraring, and I'm just reminding everyone that, we have the largest thermal peaking fleet, which is becoming more valuable as flexibility is more valuable, as the market continues, to increase towards more renewable energy. And we are growing renewables and storage. We have a pipeline of battery storage projects, some underway and more to come, and we'll share more on that. We now have 1.2 gigawatts on our virtual power plant, well on our way to achieve our 2 gigawatt target in a capital light way, and we are developing a portfolio of renewable and development options. Just pause on this at the moment, because at the time prior to the, bid by Brookfield and EIG, we had stated that a target of about 4 gigawatts in both renewables and battery storage by 2030. And while we are evaluating this, this should be your starting point, not the 14 gigawatt that was put forward by Brookfield. And I just do that to guide you as to where to start from, and that's where we're thinking now, but we'll continue to evaluate that. Turning to retail, I talk about that scale, strong brand and leading platform. You can see that we've delivered more than 300,000 customer accounts in growth since the financial year '21. We're advancing the product offerings we take to market. We've invested in new channels and segments, and we have over 78% of our customers interacting with us digitally. I talked about that leading platform being Kraken. To put 4 million customer accounts onto that, and to deliver that through this time, we feel - like we're in a very strong position. It's a platform that has a number of advantages. It's low cost to scale. It has rapid development. It's a modern platform. It has AI capability. And at the same time, we've built a new business in retail with an operating model and ways of working established that align, to the way Octopus leads its retail business. This is all pointing to the benefits that we're delivering today, but it's fair to say that we've got more to go. We can see the improvement in customer happiness over the last six months. We have an improved differential, to churn to market, and we certainly have a customer-centered culture and high engagement continuing to go forward. And we have cost to serve improvements underway, which I'll expand on. We have delivered them, but we've got more to go, in a more challenging cost environment. And then turning to that wholesale electricity position that we hold today, both existing assets and going into the future, you can see there the preeminent thermal peaking fleet, which is going to be very difficult to replicate, but also has increasing - it has more value through the transition, which I'll expand on in a moment. We have a pipeline of battery storage opportunities. Eraring Stage one is under construction. We've taken the investment decision on Mortlake. And in respect of Eraring Stage two and Darling Downs and Templers West, we're well underway. And our target would be that there would be further investment decisions on those projects in the 2024 calendar year. And you can see there just the growth in the VPP that I talked about earlier. The team have done a good job, to add over 300 and something megawatts in the last six months. And exactly why do we believe flexibility in this asset portfolio, or this combination of portfolios provides us with both increasing value and growth over time is really highlighted as you turn to Slide 11. What you can see there is the changing market increasingly - makes flexible generation more valuable. Not only can you see the intraday volatility arising through the evening peaks, as a result of solar during the day, but what you're also now seeing, is just the higher frequency of negative prices that year-on-year, continue to grow dramatically. And that value is actually indicated, or represented by the average cap prices that, you can see on the right hand side, giving you an indication that the market's also valuing this more every day. So, we do expect increased value opportunities, for the combination of that peaking fleet, VPP and the introduction of those battery projects, which is exciting for us to see. Turning to Octopus at a higher level, you can just see the exceptional growth, not only in its retail business, where it's now number one power and number two gas retailer by customer accounts, but also that you can see the exceptional growth of the Kraken software platform, which is now over halfway towards what was a very ambitious goal. I remember telling people that they had an ambition of going to 100 million accounts by 2027. We're now in 2024, and they're at well over 50 - they're over 50 million. And what you now see is them expanding into new utilities with the water and broadband, and it now has a presence in 16 markets. Those two things have driven a rise in value and the way we've shown that here is based on the equity raisings by investors that they have introduced over time, but continue to be supported, by existing investors and that continues to drive the valuation with significant interest in the market for their services on the Kraken platform. And the strong growth in margins and customer growth, but they're also now growing increasingly into international retail and services and flexibility. We talked earlier about just the importance of gas, and I think this slide highlights two things: just the high-quality resource that we have at APLNG of low-cost reserves. And you can see that just the continual strengthening of that reserve base and the large contingent resources being converted over the last six years on that chart. And the team, I think, have established well a track record of continuing to improve optimizing the network and creating value from the asset. And the combination of those two things, you can see is delivering strong, robust cash flows, which are very valuable. Touched earlier on the fact that core to our purpose, but even more core to the communities and customers today, is the support we provide them. It is really at the heart of what we need to do at Origin. And you can see there that, we have done a number of specific things over the last six months. When you look at customers, we do support them every single day through our teams out there. But some of the specific things are - is that none of our customers on our power - on hardship program had any price increases at the last round in July '23. We'll spend up to $45 million providing support to customers of hardship this year, which continues to grow year-on-year, and we have no Origin customers paying above the regulated determined offerings, which is the VDO in Victoria and the DMO and other markets. We also continue to reach out specifically to community, to provide assistance and customer support, with billing and payment queries, recognizing that we need to engage with the community and customers in a variety of ways to make sure we can help them on this journey. In terms of our communities, our foundation contributed another $1.4 million in the half. We've kicked off our community initiatives in Eraring's Community Investment Fund in the first round, has gone out for over $270,000. That's growing as we speak. And we are providing support for financial counselors. And in terms of how, they can also support the community, as we go through, some of the things we talked about with our customers. We do contribute a lot to community organizations, and we continue, to focus on growing our spend both regionally and with our indigenous suppliers, and we've done that again this year. So on that note, I will hand over to Lawrie for the financial review and come back to you and talk operations after that.
Lawrie Tremaine: Thanks, Frank, and good morning, everyone. Obviously, it's a privilege to be presenting to you for what will be the last time, but more importantly, perhaps a high-quality and clean result. So as is typical, I'll start with a profit bridge on Slide 16. Underlying profit increased $747 million with higher earnings from each of our businesses. The recovery of earnings in energy markets was a key driver, along with improved commodity hedging and LNG trading results in Integrated Gas. Our share of the Octopus result was a net loss of $41 million, compared to an $88 million loss in the corresponding half year. Tax on underlying earnings increased by $288 million, largely due to the stronger energy markets result. On Slide 17, operating cash was a net outflow for the half year, reflecting both higher working capital and higher tax payments. Energy Markets trade receivables were $260 million higher, mostly related just to the timing of receipts, but also an approximately $90 million increase, due to slower mass market collections, partially associated with higher cost of living environment our customers are experiencing. A $60 million higher bad and doubtful debt expense has been recognized given this collection performance. Working capital has also increased, due to timing impacts from green certificate purchases and traded LNG cargoes. Income tax payments of $447 million were $315 million higher than the corresponding half year due to the 2023 true-up tax payment, which included tax on higher APLNG unfranked dividends. Other payments include $77 million of transaction costs, mostly associated with the unsuccessful takeover process and $55 million of Kraken stabilization costs. Capital expenditure for the half year was higher than usual with a larger proportion allocated to growth, including the Eraring battery and early phase spend on renewable projects. Sustaining capital was also higher with major planned outages at the Eraring and Mortlake power stations. We also completed two retail channel acquisitions in the period and the sale of the LPG Pacific business. Slide 18 shows distributions from APLNG in the current year, are expected to be lower, consistent with lower effective oil prices. Origin received healthy distributions net of oil hedging of $657 million in the first half, and we expect between $1.2 billion and $1.4 billion for the full year. As foreshadowed, APLNG will fully utilize carried forward tax losses in the current financial year, and is expected to commence paying company tax installments. Distributions from APLNG later in this financial year, are therefore expected to be partially franked. The cash tax burden will shift over time from Origin to APLNG. Moving next to our capital allocation framework on Slide 19. Origin has entered a new phase of capital management with leverage low at a debt-to-EBITDA ratio of 0.9 times. We're now engaged in investing for growth, including construction underway on the Eraring battery, the recent FID on the Mortlake battery. And the recent decision to increase our equity position or Octopus Energy. These investments are expected to lift leverage back to the lower end of our target range. Our expectation is that renewable investments will largely be funded off balance sheet. Given our stronger balance sheet position, this is the right time to revisit our capital allocation framework and dividend policy. And we will be doing so over the coming months with the intent to share this with investors at an investor briefing session expected in April or May. In the meantime, reflecting our lower leverage, and confidence in the financial performance of the business, the Board has determined a fully franked interim dividend of $0.275 per share, a substantial increase over last year's interim dividend of $0.165. Energy Markets half year earnings shown on Slide 20, increased $813 million, reflecting an earnings rebound in the electricity business following a period of under-recovery of wholesale costs, slightly offsetting this cost to serve were up $92 million. Electricity gross profit increased to $950 million from an unsustainable $39 million in the first half of the 2023 financial year. The recovery of higher wholesale costs from prior periods flowing into retail and business customer tariffs represented over $500 million of this increase. Lower generation fuel costs primarily, due to the impact of the coal price cap contributed $245 million and lower spot purchase costs on a larger short position and lower contract procurement costs contributed a further $141 million. Gas gross profit increased by $10 million with higher wholesale prices flowing into customer tariffs, largely offset by the non-repeat of JKM trading gains in the prior period and also lower volumes. Cost to serve increased mostly reflecting higher bad and doubtful debts due to higher build sizes, cost of living pressures and additional compliance steps that have resulted in delayed disconnection of non-engaged and non-paying customers. On Slide 21, Origin's share of Octopus underlying EBITDA was a $12 million loss, improved from an $83 million loss in the first half of 2023. In the first half of last year, there was a material under-recovery of dramatically higher energy costs reflected in lagged U.K. retail tariffs. The non-repeat of this issue was the main driver of the improved results in the current half, along with growing customer numbers. These impacts were partially offset by higher bad and doubtful debts expense and rising renewable energy prices. The U.K. retail business is seasonal, and we would expect higher earnings in the second half of the year. The Kraken license business is profitable and continuing to grow. Frank will later show the growth of the international retail and services businesses, while growing rapidly, they're not yet profitable as they build scale, which explains the increased EBITDA loss half-on-half. Finally, it's worth noting the Octopus Group would have been profitable in the period, but for a couple of adjustments, including a non-repeatable prior year adjustment and a valuation adjustment to a short-term funding agreement with the U.K. government associated with the Bulb acquisition. Turning now to Integrated Gas earnings on Slide 22. Origin's share of APLNG earnings were down $249 million with lower global oil and gas prices impacting both LNG and domestic gas revenues. Production was up 3%, reflecting strong field performance, particularly from the successful reduction of the well workover backlog and effective well and gathering network optimization. Stronger production enabled seven spot cargoes to be delivered in the period, up from three in the first half of 2023. Operating costs were $89 million lower with lower royalties associated with lower prices, reduced gas purchases and lower downstream maintenance activity. Oil hedging resulted in a net gain of $9 million, compared to a loss of $180 million in the 2023 half year. LNG trading activities generated a gain of $77 million, benefiting from a favorable hedging, locked in during the period of extreme disruption in global gas prices. We continue to expect substantial gains from LNG trading, over the '25 and '26 financial years. Other Origin only costs have reduced, particularly with the exit of our upstream exploration assets. And with that, I'll pass you back to Frank for our operational performance.
Frank Calabria: Okay. Thanks very much, Lawrie. Now commenting the operational review and we'll start with Energy Markets, and I'm now turning to Slide 25, which shows the trend of electricity forward prices and how this flows through to the regulated tariffs, or what you may know as the DMO and VDO. The higher prices, in this case, it's the New South Wales electricity forward price that will be indicative of the DMO. The higher prices that occurred between April and December 2022 that you can see there on the chart, have fed into the determination of the tariff for this year, the FY '24 tariff shown by the dotted blue line, and has been a driver of the electricity margin recovery. Now based on the forward prices over the last 12 months and that are continuing now, we are expecting the tariff for the next financial year in FY '25 to moderate. And you can see that through the yellow, solid and dotted lines on the chart. Turning to the right-hand side, the cost of coal for Eraring, has also reduced since those peaks in 2022. That has contributed to our margin recovery. The coal price cap that's in place until June this year, and at the same time, you can see the market price for coal is also reduced. And so, what you can see going forward in the bottom point there is that the team over the last several months have now contracted or hedged about 70% of the expected coal volume requirement for the next financial year. And when you're referencing where we're buying that coal, it's at or about that 5,500 index, not the 6,000. As I mentioned earlier, the last point on Eraring is that there's ongoing engagement currently underway with the New South Wales government. Now turning to gas on the next page. Gas margin in Origin, as I said, was a source of strength, but it - and you continue to see that it's underpinned by a strong supply portfolio. That portfolio, to remind investors, is comprised of fixed supply contracts, transport flexibility, which when we combine it with our gas peaking plants, and large diverse customer base brings us together to have that strength in the market. And we have concluded - looking on the right-hand side here, we have concluded the Beach price review and are pleased with the outcome. The half year gross profit has moderated to be broadly in line with the periods before the second half of last financial year. The trading gains in that period have not repeated. And the JKM exposure that, we've hedged in, in this first half is at higher average prices, than during that period. But you can sort of see the trend there as to where the margin per gigajoule is, and it's going back to that - to what we've achieved over prior periods, if you look prior to that half two FY '23. Now, turning to retail. We have built a strong competitive advantage. When you look at - we've replatformed the customers on the Kraken. It's now translating through to customer experience. We've got a leading brand. We've strengthened our channels to market, and we now have also a 10% uplift in customers engaging exclusively through digital channels. What we've also done is that we've acquired two retailer aggregator businesses in late 2023, One Bill and MyConnect and these businesses, are contributing both to customer growth and customer experience and also lowering our average cost to acquire. So the combination of these capabilities, are bringing the competitive advantage that I just talked about to life. And if we turn to the next page, we've been delivering consistent strong growth. We grew our customer accounts over the half by over 60,000, taking a value-based approach. That's a combination of us bringing all of those things together products, pricing channels and renewables. And you can see the improvement, to the churn differential on the right-hand side. And one of the features of that is our approach among multiproduct bundling, which continues to advance. And talking about a couple of the growth opportunities in Energy Markets, you can see the community energy services businesses has grown and so has our broadband customer accounts, and we're continuing to focus on growing those businesses. In the case of CES, it's a strong business - with a good growth profile and low churn and very pleased to see we're continuing to maintain strong customer experience, as we grow broadband, scale and capability. Now turning to the next slide, Slide 30. We are now in the benefit realization phase. We have built a new retail operating model, and it's underway, and that benefit realization is underway following the migration of the customers. On cost benefits, we are currently in a more challenging environment with cost of living pressures, additional compliance measures being implemented as we improve efficiency. And on the latter, you can see that we've made improvements with all the technology CapEx savings realized. We've reduced the retail workforce by 13%. Employee productivity benefits are on track. But in terms of delivering net benefits in the half '24, those have been offset by the growth initiatives, both in retail and across zero, the higher bad and doubtful debts and compliance activity. And we still do have additional resources, as we extract the benefits and continue to improve the way we operate. We continue to pursue further improvements on cost reduction, and extend our cost to serve advantage. However, it will take longer to mitigate those with the cost environment headwinds. Turning to the VPP on Slide 31. It has continued to scale, and you can see there that we've grown it to 1.2 gigawatts. That's 366,000 connected services. And we are continuing to focus on the growth that will come through uptake in solar batteries and EV, and also as we build the Spike customer base. And we've also will continue new customer propositions, and we're on the - we're very close to launching a number of those. What we've demonstrated on the right-hand side is really, to show you specifically in the example of our electric hot water heating profile, and also an EV profile, just how that benefit can be realized by shifting load, to times of low demand or high supply, whether that be overnight or whether there's an abundance of solar energy. And we are applying and actively managing that to a bunch of customer cohorts now and continuing to refine. Our focus to-date has been on scale, connections, technical capability, and it's increasingly moving towards the customer propositions, while we continue to scale. Very excited by what we've been able to achieve in that regard. Origin Zero has continued to grow. What you can see there. It's made good progress accelerating businesses, customers to net zero. The number of large businesses, customers on broader services has grown to 6%, and we're securing long-term decarbonization partnerships with key customers, including orchestration behind the meter asset solutions and co-investing in energy services projects. In the case of EVs, we now have more than 90 businesses signed up to EV fleet and subscription products, and we're driving the growth to now have more than 600 EVs on those products. So very pleased to see the building of the Origin Zero businesses as we work with large business customers on their journey to net zero and bring them all along on that no matter where they are today in that regard. Turning to Octopus Energy. You can see it's just a fantastic brand and also core customer experience. It really is an energy business that has quite a key strength, and it does that while it maintains a cost-to-serve advantage. And it's also built that trust and you can see that through some of the measures there. And it was evident really in 2023, probably most notably by the outstanding organic growth, if you looked at the pink on the right-hand chart. And to grow 600,000 customers choosing to go to Octopus in that period, is really a testament, to just how well they are regarded by customers and performing, that NPS differential. And at the same time, you can see the impact of the Bulb and Shell acquisitions on that scale by the purple acquisition bars on that right-hand chart. Slide 35 highlights really the impressive growth trajectory of Kraken. Now here, we've highlighted core, and you should think about core being the platform that we've just implemented and the software - enterprise software we've just implemented at Origin. And Kraken Flex is their VPP offering to third-party customers, and what they're increasingly utilizing in their own retail business. When it comes to the core Kraken, 19 million customer accounts added in the half. And you can also see that Kraken Flex has grown impressively. It now has 6 gigawatts of contracted capacity for what you would call large-scale assets. That's their Infraflex, and that includes up to 50% of the batteries on the U.K. grid that are bidding into the ancillary services markets. And when it gets to Smartflex, it's really all about, I think, the EVs, heat pumps and home batteries being connected similar, to what we're doing here in Australia. Now Octopus is also scaling, and investing in both international retail and services business, and this is the first time we've broken that out, because that's where their investment is going. They have really rapidly grown in largest markets outside of U.K., being Germany, France and Japan that they've targeted, but they're clearly in a rapid growth phase for those markets. And thought we just would highlight the services business, the operator renewable generation assets under management, it really is an asset management business, but this focus on growth in heat pumps, solar and EV charger sales, and they have an EV fleet that's grown to around 13,500 vehicles. They have their own heat pump technology. And as you know, there's a lot of support for heat pumps, to displace the gas boiler in the U.K. market, and they're actively going after that. And you can see that growth rate there over the last 12 months or so. Turning to Integrated Gas. You can see there the sustained strong production. Production was up 3% in the high - than the equivalent period last year. It's been driven by well and field optimization activities and reducing the workover backlog. And it was also supported by the operation of new infrastructure that's increased gas processing facilities, flexibility. It was also very pleasing to see how the unplanned production turned down due to the LNG vessel power outage at Curtis Island in November, was managed and just how well production recovered, achieving a record production, operating daily rate of 1,632 TJs a day in December, really supporting the resilience and sustainability of the strong production, which has us. Then looking at the revenue on Slide 39. Clearly, oil price -- realized oil price was down US$84, compared to $109 in the equivalent period. The average domestic sale price that we get in the market stays well below the netback and continues to play an important role in the domestic market does APLNG. The revenue has decreased on the back of those lower oil prices on the LNG export contracts. And in the half, we delivered seven spot cargoes, up from three in the equivalent half. You can see there that the cost per gigajoule on the right-hand side on that blue line has remained relatively steady, compared to the previous financial year and the half. There has been increased activity, both workovers and operating well activity, but the strong field performance and that continued optimization of the network, has just enabled us to defer the ramp-up of the drilling program, and that highlights the strength of resource, but also the continuous improvement, to get more value out and maintain that cost profile. And then the next slide on 40 just really does break down our continued focus and approach on how to deliver that, which is really on the short cycle, low-cost supply initiatives. And so, it really means working from the top to the bottom. It starts with optimizing existing wells where we've improved the well performance with the operation of artificial lift pumps and also reducing bottom hole pressures and both of those are contributing. We've - the well availability has improved from reducing the wet weather backlog, and also the workover performance. The infrastructure debottlenecking through interconnected pipelines, but also upgrading our Spring Gully water has enabled us, to get more out of the existing fields and add to that flexibility I talked about. And with the focus on these, it has enabled well development deferral, which we continue to target that really highlights the approach that the team in Integrated Gas are going after and yielding good results. APLNG - just turning to 41. It continues to play an important role supplying the gas to the domestic - customers on the East Coast. And the domestic sales volume have remained consistent, as a percentage of total sales. Now, the Australian government, you'll be all well aware of the gas market code and what's been undertaken in the gas industry. It's good to see regulatory certainty now under that code. They've granted APLNG conditional Ministerial Exemption from the $12 price cap under the gas market code, and is subject to conditions, including a commitment, to supply gas to the domestic market. It is good to see this clarity and certainty, and APLNG has entered into sales agreements for an additional 9.6 petajoules to the domestic market in calendar year 2024, at the regulated price of $12. So that's a good development over the last six months for the gas business and industry. Now turning to outlook. Now I should - all of our guidance is provided on the basis market conditions and regulatory environment, do not materially change. Firstly, for Energy Markets, we've lifted the guidance to $1.6 billion to $1.8 billion. This excludes our Octopus Energy. And the improved guidance really reflects improvement, to both electricity gross profit, and gas gross profit and is offset by higher cost to serve. So, they're all contributing to the uplift, and the overall performance of the business and pleased to be able to communicate that upgraded guidance. In the case of Origin's share of Octopus Energy EBITDA, it's expected to make a positive contribution of less than $100 million this year. There are improved earnings from the U.K. retail business. It is seasonal, and it will be stronger in the second half. And there will be the ongoing contribution in the second half from the Kraken licensing business as it grows. It is partially offset by the not repeating of the recovery in margins from the lag in regulated tariff reset that happened in the second half of last financial year. They are investing money into the international retail and energy services business, and the full year impact of the Bulb acquisition accounting adjustments, and rising renewable energy prices will also have an impact. But it's a business growing rapidly, and you can see the drivers of that growth are impressive. And turning to FY '25, Energy Markets EBITDA consistent with what we said previously to you, we do expect the EBITDA to be lower, compared to this year. And it really is all about the reduction in the electricity gross profit as the regulated customer tariffs are expected to be lower in line with those wholesale costs that, I showed on an earlier slide, but we will expect also to have lower cost to serve. It does assume when we make that statement that current forward energy prices are maintained and also priced into the customer tariffs. Turning to the guidance of Integrated Gas. I think it's fair to say that we have maintained what we have previously communicated as guidance. Good to see that despite the events in November that we've maintained that production guidance of 680 petajoules to 710 petajoules. The unit CapEx and OpEx guidance continues to be $3.90 to $4.40 a gigajoule this financial year. And the drivers of that increase from the previous year that weather-related catch-up of workovers and non-high and non-operated development. But we are doing lower cyclical maintenance. And we provide the unit CapEx and OpEx guidance for FY '25 and '26, which is expected to be lower than this at $3.60 to $4.10 a gigajoule. It will be following delivery of this optimization in production, the cost of supply initiatives, completion of the cyclical maintenance program and expected lower power costs. And I just repeat what Lawrie had said earlier, the cash distribution is expected to be $1.2 billion to $1.4 billion net of Origin hedging from APLNG this financial year. You can see there the LNG trading guidance expect to make $60 million to $90 million in '24. And that range for the combined years of '25 to '26 is $450 million to $650 million. Thank you very much for your patience listening to this and we'll now hand over to the team and look forward to hearing all of your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Tom Allen with UBS. Please go ahead.
Tom Allen: Good morning, Frank, Lawrie and the broader team. Without trying to preempt your views on the potential uses of a strong free cash flow profile in your new distribution policy that we'll expect in the coming months. Can you please provide more color on how we should estimate the capital demands on the energy markets business into the medium term? So should we assume that growth CapEx every year, for the next six years covers your battery build out? Are there other scale opportunities on the radar? And should investors continue to assume that Origin will only contract renewable offtake, or would there be circumstances where you might develop renewables on balance sheet?
Frank Calabria: Yes. Okay. So probably, yes, we will come back and share more with you over time. But the way you should think about it is that, we do see now that the storage opportunities that you can see, we're getting a presence in each state. And the first focus is really those projects, we've talked about there. And there may well be more opportunities in what I would call capacity more broadly and firming over time. In the case of renewables, our focus is actually developing projects, to be construction ready. And for that to be something that Origin develops. But at that point that, you would be putting them - utilizing third-party capital and partners. So our objective, is not to have capital associated once they're up and running. I think the question would be, do we take that through to construction, or just to FID? And I think that would depend on the scale of the project in particular. But you should expect that we're not anticipating, to have what I would call wind and solar farms, on the balance sheet in an operating phase. But therefore, you would have some capital associated with what I would call, the classical development phase to the extent that we were developing them. But that would be recycled. And therefore, you should think about capital in that regard. As to the requirements, as to what you might think, you've talked six years. I don't think, I've given you a six year view. I've given you a 4 gigawatt view. You could probably think about that. We will review that. But that is a combination of both batteries and storage. Start with a premise of 50-50. Like, I mean, that would be as good. Don't be too precise about it. But you could use that as an example of, if you were trying to think about overall capital. But I would emphasize that we've come out of last year. I think we hold views. We're in a dynamic market where policy doesn't remain static. And we are stepping back and just making sure we assess that, evaluate it and come back very deliberately with you, over the coming months. But that's how you should think directionally. And I might just check if Lawrie's got anything on the distribution aspects of that, that he wanted to talk about further, if there's anything.
Lawrie Tremaine: No, I've got nothing to add. Thanks.
Frank Calabria: Yes. So hopefully that's indicative. Tom?
Tom Allen: Yes, that's helpful, Frank. Thank you. Was hoping it might be an opportunity to refresh just on whether you could use perhaps the events impacting electricity supply in Victoria this week, as an example to explain, how your significant portfolio, and firm peaking generation assets can outperform in an electricity market, with increasing intraday price volatility, and frequency of these chaos events. And do you expect to maintain, such a net short generation portfolio into the medium term?
Frank Calabria: Yes, I'll open up on that. There was just one other thing that on the previous question, I think there will continue, to be other opportunities on the way, through the transition. But you should always think about, having some flexibility for that. But when you're thinking about the core proposition, it really is focused on, what I was describing to you. So that was the only other thing you'd have in your mind. Just on this particular point, what I may do - just restating. So clearly what we showed you earlier was, what is becoming an increasingly "normal pattern on a day". Okay, but no day is normal, because there will be days without sun, there will be days without wind. And what you are correctly pointing out, there is an increasing prospect, or there's a prospect that there would continue to be events. What we saw this week was clearly a transmission event that tripped a large coal plant. Coal plants - have operated reliably, but we cannot ignore the fact that they are ageing as well. So they will continue to have surprises. So what I may get now is Greg conceptually to talk you through how that works in the portfolio. But it is highlighting one thing, and that is that the average energy price is forming differently every day. And there are going to be very sharp spikes in events, and there could be events with duration. And it's the combination of all of those aspects to the portfolio that play out. And I think that's what you're really asking. So, Greg, do you want to just maybe talk a little bit about Victoria? Maybe that's a good event to talk about what happens.
Greg Jarvis: And Tom, flexibility is the key here. But look, firstly, it was an extreme weather event and it's something we saw before when we saw transmission taking out. It's a similar event this time as well. So six towers down, large transmission towers off. Interesting for our portfolio, we buy all the power from Stockyard. That was actually turned off as well, because of our local fire issues. And because of that we - that the operations team actually turned on our Mortlake gas-fired power stations. So, we captured the event through turning on gas power stations. Interestingly, those gas power stations remain on. So, they've been directed by AEMO to provide stability to the system in that part of the area, which is great for customers. But, you know, again, I think this is going to be a trend going forward. And quite frankly, you know, that's why Mortlake battery is going to be an important asset going forward so.
Frank Calabria: And there are some individual characteristics of this one that, shouldn't be forgotten, even the difference between Western Victoria and the East of Victoria, and covering your position, and having a capacity position that enables you to do that, both through your asset portfolio and contracts. And as the market goes through increasingly sharp spikes, that's where we see the benefit of increasing the batteries alongside also VPP, which has the ability to capture some of that value if you do that. If we can - as we continue to go on that and that will enable us to then also think about starts on the gas plant for the longer events. But that's how hopefully that gives you an indication of how we've thought about that, and what we've done in these circumstances.
Tom Allen: Yes, thanks, Frank. Thanks, Greg. And if I can just sneak one more while I've got Greg there, I just note there's no mention of the negotiations with the New South Wales government on the stage withdrawal of the Eraring power station. Perhaps can you guide indicatively on, when this revised plan might be known and recognizing there's been low liquidity in the baseload futures? To what extent, Greg, does your team believe that the futures are pricing in a withdrawal of some Eraring capacity from FY '26?
Greg Jarvis: Look, we haven't changed our notes of closure. I've got to say, we're in multiple negotiations with the New South Wales government and they continue. So, I can't give you any time frame on that, Tom.
Frank Calabria: Both parties are actively engaged.
Greg Jarvis: It's professional.
Frank Calabria: Yes. And they're confidential. And both the government and ourselves respect that. But we're still active and underway. So that's probably the best thing. I don't want to really get pinpointed on specific times, but everyone's actively working it.
Tom Allen: And on the forward curve?
Greg Jarvis: Yes, look, it's all transparent. So the market's pricing this in. There's nothing more to say in around there. Not sure it's priced in, yes.
Frank Calabria: Thanks, Tom.
Tom Allen: So the comment was, Greg that, you think that even the low liquidity in the futures is still pricing in a withdrawal of Eraring under the current announced closure schedule?
Greg Jarvis: Yes, absolutely. It's absolutely transparent to the government - to the market. So there's nothing, it is what it is.
Frank Calabria: Liquidity makes that more difficult to see whether - to the extent people putting probabilities on different outcomes. But we don't have anything further to add to that at the moment.
Tom Allen: Sure. Thanks all.
Frank Calabria: Thank you.
Operator: Your next question comes from Reinhardt van der Walt with Bank of America. Please go ahead.
Reinhardt van der Walt: Good morning, Frank and team. Thank you for taking my question and congratulations on the result. Another question on Eraring, and I appreciate that you can't really give comments on what you're discussing with the New South Wales government. But can you at least just tell us whether you think Eraring at the moment is still an NPV positive asset based on the forward curve and your assumptions around intraday volatility?
Frank Calabria: Yes look, there's no doubt that Eraring has contributed value this year, Reinhardt. I'm going to give you, because it is, but it does highlight to you with this change in market that I don't think the theme of challenges associated with coal plants in this market has gone away. And there's the risk that you get disconnect between coal pricing and local markets, like we saw a couple of years ago that represents a risk. But in the current dynamic and the current way it's operated over the last 12 months, that's continued. That has been positive. And it's really the predictability of that into the future that becomes the challenge over time. But the dynamic right now has been better, clearly, than the last 12 months. But it's not a static environment and the market's going to continue to change. The asset continues to perform well. But I don't think we've changed our view around the fact that the economics of these plants will be challenged over time. And what you're hearing right now is, that we've got a note of no disclosure in August 25. But we're in discussions with the government about retaining that for the security of the market in their view and having that insurance. But, yes, so we're happy to run that through to '25. We're in discussions about beyond that with the government. But we do still see challenges beyond that.
Reinhardt van der Walt: Good. So really, in your view, it's probably for Eraring it's more the coal cost position, rather than the flexibility of that plant that, you think is going to challenge the economics in the medium term, is that…?
Frank Calabria: Look, the flexibility, there's no doubt you look at that trend over time. That's going to make more challenging for coal over time. And so, we may not run at the same capacity factors over time, which is obviously goes to the unit cost of running it. The big events that can occur, though, is that you can get the dislocation, between coal and electricity prices and they're the big events that occur. So that's the principal focus. But the trend is still challenging over time when you need more flexible units and you're going to see continual holding out of the day. But, yes, that's going to play out over time.
Reinhardt van der Walt: Got it. Understood. Thank you. And just if you're thinking about that coal position more shorter term, I noticed that in your FY '25 outlook statement, there wasn't actually an explicit mention of change in fuel cost, even though that New South Wales coal price cap is coming off. Can we read that as your coal cost position next year, is probably going to be, sort of similar to the $125 a tonne that seems to be kind of supported by the spot prices?
Frank Calabria: I think if you looked at the 5500 index, it's a little above the $125. So I don't think you can expect its hit that same level on a delivered basis. So if you looked at the average index over the last several months, it would be a little higher. And that feeds into our thinking. So that's we haven't been explicit on that, but yes, we expect it to be a little higher. But that yellow line, I think - if I recall, it's yellow will be indicative of where that's sort of sitting at over the last several months.
Reinhardt van der Walt: Perfect. Excellent. Thank you. And just one more quick question on FY '25. Sorry?
Frank Calabria: Yes.
Reinhardt van der Walt: The net bad debt expense was obviously, it was a pretty substantial step up this year. But I mean, if I look over the next six months, your electricity tariffs are going to come down a touch. You're going to have tax cuts. Who knows, maybe even rate cuts at some point. Is your assumption in your FY '25 guidance that that net bad debt expense does start to roll down as well into next year?
Frank Calabria: I'll get John just to give you a sense. I might make an overarching comment. We're watching cost of living every day, but we've also gone through the change in our business and we've got compliance, and a bunch of things that are going through that. It might be a little early to call that, but don't take that one way or the other, because we're just watching that trend right now. But Jon, do you want to give more insight?
Jon Briskin: Well, you insofar as the bills will ease and come off and hence you'll see that bad debt provision come off. So our expectation is that we will get that lower in '25 than '26.
Reinhardt van der Walt: Perfect. Thanks. I'll pass it on.
Frank Calabria: Thanks, Reinhardt.
Operator: Your next question comes from Nik Burns with Jarden, Australia. Please go ahead.
Nik Burns: Yes, thanks, Frank and Lawrie. And congratulations on the strong financial result. Just a couple of questions from me. The first to Lawrie, just on the first half of cash flows, I suspect many will be surprised with the low operating cash flow number, after energy markets recorded such a cracking first half. It feels like you should be showing a much stronger conversion rate for EBITDA, to operating cash flow. I do appreciate there was a number of call outs there, and it does include APLNG tax. But can you just talk through a little more about why the conversion rate was so low in the first half? When we should expect that rate, to improve and maybe what a normalized conversion rate might look like? Thanks.
Lawrie Tremaine: Yes, thanks, Nik. Look, I think on the slide, we've tried to be absolutely as transparent as we could be. So I would read the words on the slide and also the comments I made in the presentation. I tried to call out, there's a lot of timing impacts in here. And so, I'll give you an example on the comments on the slide. I talk about timing impacts from large business customers. And so, there's about $50 million of higher debtors. And I'm looking at James Magill right now. So James and I had a good conversation about, to what extent can we consider that to be timing, or a business issue? And we conclude it's just timing. It's not a business issue at all. We expect those receivables, to be collected. Similarly, there's some bill relief receipts, we're expecting from government. It doesn't get included in this result, but we fully expect to receive that. I didn't mention in my comments, we very often get timing impacts around LNG, the LNG traded cargoes. So these are the ones, associated with Cameron and in the past they've been associated with ENN. They're very ad hoc, those cargoes. And in this particular time, we received, we took delivery of a cargo. We paid for it. We delivered it to a customer. We just haven't received the cash for it yet. And so that'll just fall through into January. So again, it's a timing impact on this result, but just not a business issue. And I also mentioned on the way through, the fact that we have built up, our green certificate inventory, partly ahead of, partly associated with the large, the LGC scheme and partly, because we've got to surrender those certificates in February. But partly also related to other schemes, and just building up inventory in a rising price, or rising cost environment. And so a whole lot of factors, but then I also called out, there is a business issue. And it's the $90 million associated with slower mass market collections, which I suspect we may have more questions on, but I'll leave that there to say, hi, look, mostly timing, but that slower collections is the one issue that's worth us focusing on.
Nik Burns: Got it. Thanks for the color there, Lawrie. Just my other question is on your gas gross profit margin chart on Slide 26. And we all love a shaded bar chart to read from, but if I read it correctly, I think the full year '24 number, the margin looks like it would be a maximum of $4 a gigajoule. First half margin was $4.50. I guess if we read that right, then you're implying a $3.50, or there about maximum margin in the second half. Can you just talk through why second half margins are expected to be at least, or around $1 gigajoule below the first half? And also you do call out JKM exposure, hedge to higher prices this year is obviously being a bit of a drag. Can you just remind us again whether this high hedge cost extends into FY '25 and beyond? Thanks.
Tony Lucas: Hi, it's Tony Lucas here. The gas gross margin in the first half had a number of one-offs. It had a couple of trading deals in the first half, which won't repeat in the second half. And also we had much stronger C&I pricing in the first half of the year. A lot of our C&I pricing is calendar year. And so, we expect in the second half that that will get lower pricing when we recontract that. And that would be the majority of the impact. There's a little bit of an impact in seasonality and retail volumes half-on-half, but that would be a bit player compared to the other two in that variance.
Nik Burns: And just on the JKM?
Frank Calabria: You want to take JKM?
Tony Lucas: Okay. Sorry, I didn't hear the question on the JKM.
Nik Burns: Oh, sorry. It's just the fact that it was called out as the fact it locked in a high hedge cost this year. It's part of the reason why margins were lower this year than, say, last year. But just wondering how that extends through the forecast period beyond FY '24?
Tony Lucas: Yes. So in the prior year, we had quite high realized JKM hedges, which gave us probably a much higher gross margin and margin per gigajoule than what we would normally have on a long run basis. JKM we're expecting to be lower this year.
Nik Burns: Got it. Thanks, guys.
Frank Calabria: Thanks, Nik.
Operator: Your next question comes from Dale Koenders with Barrenjoey. Please go ahead.
Dale Koenders: Morning, guys. I was hoping you could give some sort of color as to the discussion on the Board around the dividend and the size, the effective more than 300% payout of free cash flow. Was this a thinker around, sort of like what was cash flow normalized for working capital, or was this around excess capacity on the balance sheet, or something else?
Lawrie Tremaine: Yes, thanks, Dale, it's Lawrie. Look, we do have a payout ratio based dividend. But what we've found over recent periods is, just the volatility in things like working capital makes it very difficult to hit the middle of a payout ratio each and every period. And so that'll be one of the matters that we turn our minds to, when we reframe that policy going forward. And so, we started to do a reconciliation to say, how does this particular dividend make sense given a payout ratio? And we just downed tools on that and said, look, we'll measure it again across a year, rather than an individual six-month period. Because, as I've said, some of those working capital matters are just timing. And so, they'll correct themselves across the full year. And so, rather I look at that dividend and say, is it affordable? And in a scenario where we have good line of sight, to capital expenditure and again, largely associated with the Eraring battery, and a slow build in expenditure associated now, with the Mortlake battery. Knowing how the businesses are both performing, some of the volatility experience in the last couple of years, had come out a bit. And so, we've seen a bit more stability around commodity price. So given all of that, we believed, that the $0.275 per share dividend, is the right one from an affordability perspective. And also just our confidence in the business where we are today. So they were the considerations in the Board largely got.
Dale Koenders: Okay. And then tying that into, I guess, your heavily under-geared balance sheet of 0.9 times adjusted debt to EBITDA, but Frank's comment of getting to two times the bottom end of the range. Is this dividend effectively when you transition forward to the earnings in FY '25 getting you to the bottom end of your range? Is that the right way of thinking about it also delivering?
Lawrie Tremaine: Yes, so we have an expectation that we will move towards the bottom end of the range, with a combination of the earnings that we expect, but also the capital - our capital expenditure profile and inclusive, of course, of this dividend. Now, the other point I wanted to make is we wouldn't have - the Board wouldn't have determined a $0.275 per share dividend, if we didn't think that was somewhat sustainable. And so, we're not about to have large shifts in dividend from period-to-period. So, we believe it's sustainable. But of course, the Board has to make a choice about dividends every six months - and the Board won't be, you know, it's a $0.275 doesn't become a flaw. But we had a view that it would be sustainable moving forward.
Dale Koenders: Okay. And then a final question, I guess, for Frank, when you think about the rainbow chart that was presented, I think, is about 18 months ago for the first time. How do you think about what sort of FY '25 and '26 is looking like now? Is that still consistent with the vision back then, or some businesses going better, or worse like as energy markets improved more than you would have thought?
Frank Calabria: Yes, there was always a recovery trajectory on energy markets, and some of that strength of recovery, I think we said at the previous results, and I'd say it again now has come forward into the '24. So, '24 is certainly was stronger than when we would have stylized that chart. And therefore '25, if you could use it in energy markets, we've said won't be as high as '24, just simply, because of how that got realized, over the course of this year and some of the things going better. So I think everything is, I think most of the aspects of the business have actually tracked. I think the one thing we've called out today is that in '24, good gross margin in the retail business and all of the value creation there, but the cost to serve with bad and doubtful debts is actually to be in higher as we've gone through the what - I would say the efficiency drive at the end of implementing a big system, which is no light undertaking. Anything else in that? I think gas is moderated back to that long-term average. Eraring played out well this year. I think the markets played out well this year. But they're probably the - I think retail pretty good. I think that's the only real call, is that some of that benefit got pulled forward a little bit. Otherwise, the thesis remains the same.
Dale Koenders: Hi, so it's kind of second half earnings level moderated for retail electricity prices plus some growth benefits of CapEx as we think forward to '25?
Frank Calabria: Yes, yes. Did you say second half of '24 or '25?
Dale Koenders: Yes, as we transition from what's implied by second - guidance for the second half to FY '25 that came up for basis?
Frank Calabria: That's right. That's right. And some cost to serve benefit year-on-year, yes.
Dale Koenders: Okay. Thank you.
Frank Calabria: Thanks.
Operator: Your next question comes from Ian Myles with Macquarie.
Ian Myles: Congratulations, guys. An apology for sounding a little negative here. What do you think about the regulatory threat? You've come out with record profits, you've upgraded guidances, you're doing really, really well. And you've got this cost of living crisis in the marketplace. Do you think this inspires the retail regulators to really crunch margins and allowances that you've got?
Frank Calabria: I think retail - I think the regulator won't be like I think they won't be immune. One of their basis, is of making their decision is also, to make sure there's an orderly market, and to make sure it delivers what they believe, are fair outcomes as a default offer. So, I do think that all feeds into that. I do think that, you know, we are obviously seeing an external environment where cost of living is forefront on everyone's minds. And we've seen this before, but we are seeing it particularly play out today. So Ian, I think I don't know what the regulatory response, there's a methodology. But I'd expect that they will continue to consider what's the right outcome for that DMO next year. I don't think we should ever forget a couple of things, though. It was only 12 months ago that we made no money in that electricity business. And part of what we're seeing the strength this year is, in fact, that averaging over time. And you'll see a little bit of that settle itself down again next year. So, I just truly hope people don't take point in time and actually look at that to get a sense for what's really playing out. Because to be clear, and you would have been negative for a different reason. You would have been asking where our margins were going 12 months ago. And so I just hope that everyone understands that that's partly what we're seeing today. But clearly, we represent an essential service and we've got to do a good job by our customers. And we've also got to be a healthy business to continue to invest in the transition. So I just I hope they get the balance right in that regard. And but you're absolutely right about the environment we're in.
Ian Myles: You raised an interesting question there. When you think about your energy markets business as a whole on that longer run basis, should investors be sort of thinking, pick a number sort of $1.3 billion to $1.5 billion? Is that sustainable sort of number and then we have this style of - volatility events and other events, which can ebb it up or ebb it down?
Frank Calabria: If you look, yes, look, I think without me anointing the $1.3 billion as a particular thing, but I understand your point, because if you looked at that trend over time, that composition may have changed a little over. But if you really step back from the sort of average dollars per megawatt, you make in an electricity business on a gross margin. If you if you looked over time and looked at this year and offset the last couple of years. You'd be back to that long run average of about $20 to $30 a megawatt hour. And so I do think that sort of supports your view that, we think that that will play itself out. Now, obviously, we're working hard to capture more of the share of that in the market if we can. But that's probably a reasonable view. And we've seen some ups and downs in gas. So, I don't think that's a, before investment I'd say, before new investment. And that's not a bad thought. And obviously, we continue to improve the business, but that's probably not a bad thought around that, yes.
Ian Myles: And maybe you could give us a bit more color on Kraken, particularly, it's conquered the U.K. market or rephrase it Kraken Octopus, it's conquered the U.K. market. In the markets like Europe and Japan, how much is driven by the Octopus brand, or the joint venture trying to be the dominant position, versus the instances you're generating are actually the platform for them signing up new existing retailers onto the Kraken platform?
Frank Calabria: Yes, no, good question. Third-parties have obviously entered up, have signed up in the U.K. market, where obviously big outside the market in Australia. I think the Tokyo gas joint venture was an entry point into the market, but it also demonstrated its capability in a market outside the U.K. So I think Tokyo gas deciding that it's going, to therefore migrate a much bigger customer base comes off the strength of the platform's ability to deliver for them. I don't think they would make a decision that wasn't well considered. So I actually think they all have been reinforcing in the case of the Japanese market example. So, I think then when you get to some of the other markets, then that will come down to the decision by customers. But a lot of them have had good experiences, because, as both EDF and E.ON are Europeans that are operating in the U.K. market. And they're operating in these markets now, utilizing Kraken, albeit in a small way. So they're demonstrating that it actually does operate. I think that's partly the way they think about both growth and retail, but also the opportunity to go and license Kraken over time. So it genuinely is an enterprise platform that it's extending beyond the U.K. market. And you can see that even now going into water and broadband. So that's how they think about it. I wouldn't think that, they're thinking that the joint venture, they'll be hopeful for that joint venture in the U.K. to continue, in Japan to continue to grow. But that's got a couple of hundred thousand customers. Tokyo gas has got 11 million accounts. And so, they're going to have to deliver for that customer to really drive that value over time as well.
Ian Myles: And maybe you could talk about Kraken in the context of Origin itself. You actually implementing in your business in Australia. I noticed your $55 million stabilization. I'm so curious. That doesn't sound like a positive word, stabilization. But how you've actually managed to, not from the cost side, but from the consumer side, generate flexibility or what's it actually delivering you in that day-to-day market sense?
Frank Calabria: I'll just make an overarching, and Jon will open up and be able to talk to you exactly those benefits that what we're seeing right now. And in relation to stabilization, it's the particular phase that literally after the customers come onto the platform, you've got a particular amount of activity before you go just into BAU. And we're in that phase. So Jon will describe that as well. But Jon, do you want to just talk a bit about what you're seeing, particularly the tech realization benefit, but also how you see the benefits?
Jon Briskin: Sure. And I mean, clearly, these are complex programs. And in undertaking the program, we've had effectively built a new business. So, we've gone from two businesses to one. And through that stabilization, you have a bubble workforce, you have wind down and decommission costs. And so - those costs reflect that. The point now is that we actually now have the white space of having gone through migration. We've got a fantastic cloud-based system. It's modern, it's AI enabled. We're seeing the benefits of lower CapEx spend already as we've had to implement a number of regulatory changes quite cheaply. We're seeing the productivity benefits as our FTE now reduce. And we're in this phase where we're seeing things like, customer happiness just starting to really take off. And we're seeing improvements in churn. So, I think that this next phase, is all about benefit realization, continuing to extract the productivity benefits, but also looking at the opportunity for us to continue with multi-products, continue the integration into our VPP proposition. All those things are now starting to look ahead of us.
Ian Myles: Okay. That's it, great. Thank you very much.
Frank Calabria: Thanks, Ian.
Operator: Your next question comes from Rob Koh with MS. Please go ahead.
Rob Koh: Good morning and congratulations on the result and also to Mr. Tremaine on your announcement and your contributions to Origin. Just first questions, I guess, more in the nature of a modeling question. Just thinking about the first half energy markets, EBITDA implies the second half run rate, of kind of at the midpoint 650 mil. And Mr. Burns identified that a lot of that would be the gas margin. Is there like an electricity headwind in the second half that we should be looking for?
Frank Calabria: It'd be a combination of gas and electricity and Tony described the gas. I'll kick off and Tony can add if he wants to add anything further to this. Probably the key thing is that there's an element of seasonality in the electricity business, because of the cost really to hedge associated generally with the summer months. That tends to be the difference for us. So that will mean on average, outside of other events, you would expect to see second half lower than the first half. And then it comes down to the competitive dynamics in the market. We've seen some recently, we've seen some discounts rising activity wise. It's probably not as - it's still not very high, but we certainly see higher discounts. We're making an assessment on that. Tony, anything else?
Tony Lucas: No, I mean, the majority or maybe half of it is, would be just the seasonality impact of buying more expensive sort of summer hedges in that calendar Q1 period. And we did have some small prior revisions, to load that would come in - at first half, but we don't expect to repeat in the second half either.
Frank Calabria: But the plan we have seasonality. Thanks.
Rob Koh: Yes, thank you. But - really appreciate that. Just I guess a question about the, without wanting to preempt your April, May investor update on capital allocation policy. Should we be thinking that's mainly about refinements to the distribution policy? Or should we also be contemplating any other changes to company configuration? And I guess just to call out one potential scenario, I guess Conoco was prepared to be operator of APLNG and buy a little bit more of it. And if or are those conversations all kind of finished now?
Lawrie Tremaine: Yes Rob, obviously, dividend policy will be one part of that. But to be honest, some of the questions that have been asked this morning sort of, do cover the other topics. So, if we talk about which clearly we have for some time now talked about taking renewables off balance sheet. Well, exactly what is the aspiration for renewables? And so reconsider that. If you're taking them off balance sheet, what are the options and, which options do you prefer and how are you going to pursue that? And so the whole bunch of issues like that that we want to reconsider. And we want to give ourselves a little bit of time to do that rather than rush out. Nothing about the APLNG administrative arrangements - that would be part of that at this point.
Rob Koh: Thank you.
Frank Calabria: Rob, distribution policy falls out of strategic choices. And so you would expect us to - and what we see ourselves. So, we will make sure we step back and just review all of that in the context. I wouldn't anoint one specific thing or other, but it's telling you all that we're not just barreling on business as usual. We are actually just thinking about it to make sure we make a considered decision as we go through this next phase. And so, you just would expect us to make sure we do that. There are some things that I think for the momentum we're going after, are no regrets. We're just going straight after it, and we're clear on many, many things. But I just think it always is appropriate that we just step back, and make sure that we're clear about that to our investors. And we'll factor all those things into account.
Rob Koh: Yes, great. Thank you. Maybe just a final question from me on Octopus. And Octopus's position in the U.K. energy supply market is now, I guess, amazing. Just wondering if you can give any color on what is the aspiration further in the U.K. market? Is there more to grow or is it now, is there an inflection in that business model in the U.K.?
Frank Calabria: Look, I think it's gone to a point where it's actually now sitting with a very significant position in the market. And obviously it's benefited from some inorganic. I think the key thing for us is if you'd looked at that last 12 months organically, that's been very impressive. And I don't know how to predict what that organic would play out over time. But you'd have to say that it's actually set itself a target, to be a key player in the market and it's there now. And so I wouldn't expect more organic to pop out at this particular, inorganic to pop out. Jon?
Jon Briskin: Yes, I mean, I think that's right. The only addition I would make to that is that they haven't been necessarily active in terms of large discounts to grow customers. Customers are really attracted to the brand proposition, to the service proposition. So that's flowing through. And I think that 600,000 is pretty amazing.
Frank Calabria: Yes, so that's the one thing that's more difficult to predict. But you're right, they're benefiting from that. And that's the only sort of, as Jon's done a better job than me, just the way to characterize that. The one thing, though, you can see that that's enabling is that brand position is, as they think, as they move into the EV market, and as they move into heat pumps, and that is really where I think you'll find that they'll be focused a lot. They're focused a lot on growth. And that's principally in the U.K. at this point in time.
Frank Calabria: Okay, great. Thank you very much. Appreciate it.
Frank Calabria: Thank you.
Operator: Your next question comes from Gordon Ramsay with RBC Capital Markets. Please go ahead.
Frank Calabria: Hi, Gordon.
Gordon Ramsay: Hi, Frank. The question for you is kind of more of a macro one in terms of what we've seen in the U.K. And I think I've asked you this a while ago. You know, Octopus has benefited from the move to quarterly tariffs. And if we saw something like that in Australia, don't you think that would take some of the volatility out of the Eraring that we've seen from Origin? And I'm talking about FY '22 versus FY '24. Clearly, the catch up that you're going through on that in the one year lag, has made it more volatile from my perspective?
Frank Calabria: Yes, look, and I think it'd be fair to say that at the time that Octopus moved, sorry, the U.K. market moved to that and it went through those events in '22. I think I'm pretty correct in saying that people - that that was being looked at in the Australian market at that time. But a decision by regulators and government had moved to that. You are right in that you get the adjustments more frequently through time. And so therefore, you don't wait to the year end results. So you're absolutely right. Whether there's an appetite in the market to actually move to that at the moment, that doesn't seem to be on the agenda. But your thesis is right as to a benefit of doing it. It would be more frequent resets than that would be more frequent - for customers as well. So, there's a sort of a, you've got to think about the advantages and disadvantages of that, yes.
Gordon Ramsay: Okay. And just interested in your outlook for spot electricity pricing going forward, do you see that becoming increasingly volatile? And then how do you capture margin in that environment? Clearly, you've got your gas peakers in - strong position in that thermal fleet. But what does this - and I'm just assuming that you're seeing that it doesn't agree with that view, then how do you position the company with renewables in terms of batteries or pumped hydro? I'm just interested in your thought process there?
Greg Jarvis: Yes. It's Greg here. Absolutely volatility is increasing and it has been occurring for some time. So not only are we seeing some high price events, we're seeing very low price events as well. So having the right assets in the mix, is incredibly important going forward. So, running baseload these days is just getting more and more difficult. And really, coal baseload is just you spend a lot of time maintaining these plants. And when you get no return in the middle of the day, that's difficult. So, our portfolio is well set up. It's well versed in these slides. We have a good gas peaking fleet and we are moving very fast on the battery space. So that will only increase the flexibility of the portfolio. And that's a good position to have. The other comment I'd make is, storage of gas as well. Flexibility around gas really supports the peaking fleet. So that's also a very important requirement as well.
Frank Calabria: So Gordon, think about, I think this is where Tom was going earlier. You're going to get, could get very immediate short priced events increasing in the market because of outages and a bunch of things. You've got to be able to respond very quickly. You've got to be able to respond on a sort of a cycle through the day that can take place, because you can see that pattern I showed on one of the charts of high solar evening peaks. And then I think the key solve for most markets around the world, is what do you do for genuine long duration storage? And while lithium ions operating effectively and commercially in the short end of the market, there's nothing that's really operating easily economically over the hours and hours and days. So gas is going to continue to play a role. Pumped hydro is very expensive, but that's why you'll find that I think a lot of resource and capital and innovation will go into solving long duration storage. It's one of the key things for the market to solve. 
Greg Jarvis: Yes. And just one other point, Gordon, is, we are spending time in looking at that longer term storage. So again, we're investigating flow batteries as well as pump hydro opportunities.
Frank Calabria: Which is why we think the gas peak is, while other people are going on that, is going to play an incredibly valuable role.
Gordon Ramsay: Just lastly, so in terms of your - let's say, Eraring, is there any incentive to invest in lowering that generation, minimum generation at Eraring? Since you're closing it in August 2025, just, you know, your competitors talking about lowering minimum generation by 13% at one of their plants by the end of FY '24?
Frank Calabria: Look, I mean, this is a very difficult proposition, because if you underinvest in your maintenance of these machines, you can have outages, which could cost you a lot of money. So, we are very careful about maintenance. We have maintained our plant to a very good operational standard, and that's what is playing out. And we like the performance of Eraring.
Gordon Ramsay: The min gen on a raring is already below 200 megawatts, 200 megawatts a unit. I don't think it's in our plans at the moment, given it was already quite low on a min gen relative to the average plant in the market. I think incrementally spending capital to take it lower than that, I don't think would be economic. But I don't think would be as the same economic proposition to those that had higher min gen, minimum generation output on those units. Is that?
Greg Jarvis: That's correct. I mean, restarting a coal-fired plant is very expensive. So we've investigated that. It has been done around the world. But again, Eraring units, we can get down to 210 megawatts up to 700. So it's pretty flexible already. Yes, that's the way we think about it.
Gordon Ramsay: Thank you very much.
Frank Calabria: Thanks Gordon. Cheers.
Operator: Thank you. One moment. Your next question comes from Mark Busuttil with JPMorgan. Please go ahead.
Mark Busuttil: Good morning, everyone. Just wanted to follow-up an earlier question just in terms of the second half or implied guidance in the second half. So if you analyze that, so you're looking at about $1.2 billion to $1.6 billion in energy markets EBITDA on the second half. And I understand there's some seasonality as you've talked about it. But should we assume that that's the starting point for fiscal '25. And then the additional headwinds that you've talked about mean that '25 EBITDA should be lower than that?
Frank Calabria: No, I wouldn't assume that, Mark. But it's not a bad run rate to start from. We would expect to see cost to serve. There'll still be formation of electricity margins and gas margins. But I wouldn't start from there and lower that. Definitely not.
Mark Busuttil: Okay.
Frank Calabria: But it's not a bad starting point.
Mark Busuttil: Okay. And then also, can you maybe just talk to what PPA prices you're seeing right now and how attractive they are for you to be signing on to them. And also the duration aspect of it?
Greg Jarvis: Yes, look, PPA prices, it depends on the technology. But what we have seen was - is wind has increased in costs substantially. So it's more than $90 to $100 dollar a megawatt range, which is a substantial increase from the past. And solar, look, that's up from the lows as well. So it's more around 50 to 60, say.
Frank Calabria: Yes. But in terms of attractiveness of that, it depends on the assets. Obviously, clearly, people trying to get their heads around the inflation that's gone into construction and everything like that. And is it the right time? What's the long-term? And will we see those benefits come off? And the duration of those PPAs, Greg, are generally just so that...
Greg Jarvis: 10 plus.
Frank Calabria: Yes. They're generally closer to 15 and stuff like that for that, right. And obviously, you're locking in longer. So that's a market context. So you're either developing into that or you're buying into that, always striking a long-term contract, at any point you've got to be mindful about whether you feel that that's going to be supported over time. Yes and so, look, we continue to assess that against the market. And we're also assessing that against a market that's changing. We've got a CIS that's been introduced. We're trying to understand that in the context. So all of those things go to the mix. It's probably our view is that it's certainly jumped up and we'd be hopeful, but not necessarily bank strategy on this, that you get some better benefits in overtime through construction that, take the heat out of that a little bit.
Mark Busuttil: Okay. And then just lastly, just in the past, you've suggested to us that your fixed, I guess, fixed cost base on electricity is about 15 to 20 terawatt hours a year. Is that still a fair assumption today? And what would it be post-Eraring?
Frank Calabria: Tony will give you...
Tony Lucas: Fair assumption today when you include Eraring and the renewable PPAs and then, you know, how much we run the gas fleet. Obviously, post-Eraring, Eraring is a big chunk that drops out of that. And really, that's, behind our thinking about, the 4 gigawatts that Frank mentioned going to offset some of that potential reduction. But you should post-Eraring that volume will drop out.
Mark Busuttil: Okay. Fabulous. Thanks so much.
Frank Calabria: Thanks, Mark.
Operator: [Operator Instructions] Your next question comes from Dale Koenders with Barrenjoey. Please go ahead.
Dale Koenders: Hi, guys. Thanks for taking the second question. I was just looking through the accounts and looking at the Octopus accounts in particular. Notice that the current liabilities on 100% basis have jumped up by about $8 billion. And there's a call out for about $5.2 billion gross funding agreement. Can you just talk me through what impact that the Bulb acquisition from a debt repayment to the U.K. government is going to have for Origin? Is that all quarantined within Octopus, or is there another funding call to come?
Lawrie Tremaine: Yes, no, it's - Dale, it's Lawrie. It's all quarantined within Octopus. And you called out liabilities. If you have a look, there's been a growth on the asset side of the balance sheet as well. All, as you predicted, all associated with the Bulb acquisition, a very complex set of arrangements, but we believe well managed and short lived. So, we expect that to work its way through over the remainder of this calendar year.
Dale Koenders: Okay. Brilliant. Great outcome. Thanks.
Lawrie Tremaine: Thanks.
Operator: There are no further questions at this time. I'll now hand back to Mr. Calabria for closing remarks.
Frank Calabria: Okay. Well, thank you very much for everyone for the good questions in particular. And we look forward to catching up with a lot of the investors and analysts over the next days, and weeks. And hope you have a good rest of the day. So thanks for your time this morning, everyone. And thanks to the team here.
Operator: And that does concludes our conference for today. Thank you for participating. You may now disconnect.